Operator: Welcome to Revlon’s first quarter 2008 earnings conference call.  (Operator Instructions) I would now like to turn the call over to Miss Abbe Goldstein, Revlon’s Senior Vice President, Investor Relations and Corporate Communications.
Abbe F. Goldstein: Earlier this morning we released our results for the first quarter 2008.  If you have not already received a copy of the earnings release you can obtain at our website at www.RevlonInc.com.  Here with me today are David Kennedy, President and Chief Executive Officer and Alan Ennis, Executive Vice President and Chief Financial Officer. On today’s call David will briefly highlight the first quarter results and provide a strategic update on the business.  Alan will review our financial results for the quarter in detail.  I will then introduce our extensive new product lineup for the second half of 2008. Before we get started I would like to remind everyone that our discussion this morning might include forward-looking statements which are subject to the Safe Harbor Provisions of the Private Securities Litigation Act Reform of 1995.  Information on factors that could affect the company’s results from time to time to cause them to differ materially from such forward-looking statements is set forth in the company’s filings with the SEC including our 2007 Form 10-K which we filed on March 5 and our first quarter 2008 10-Q which we expect to file next week. Our remarks today will include a discussion of adjusted EBIDTA which is a non-GAAP measure that is defined in the footnotes to the release we issued this morning and is reconciled to net loss the most directly comparable GAAP measure in the accompanying financial tables.  In relation to US share results unless otherwise noted our discussion this morning of mass retail share and consumption data is that of US mass retail dollar volume according to ACNielsen which excludes Wal-Mart as well as regional mass volume retailers, prestige department stores, Internet, door-to-door, television shopping, perfumeries and specialty stores all of which are outlets for cosmetic sales.  The ACNielsen data is an aggregate of the drug channel, Target, Kmart and food and combo stores and represents approximately two thirds of the company's US mass retail dollar volume. Finally, as a reminder our discussion this morning should not be copied or recorded.  With that I would now like to hand it over to David.
David L. Kennedy: Good morning everyone.  First I’d like to briefly review our financial results for the first quarter of 2008 compared to last year.  Net sales were $320.4 million compared to $328.6 million.  Operating income was $32.5 million compared to $3 million.  Net loss was $2.5 million compared to net loss of $35.2 million.  Adjusted EBITDA was $58.1 million compared to $32.3 million. Our strong financial results for the first quarter of 2008 continue to build upon our performance throughout 2007.  Our results continue to validate our strategy and we remain focused on increasing the value of our company by building the Revlon brand and generating profitable sales growth and positive free cash flow.  Later in the call Alan will review the financial results for the first quarter in more detail. In the US according to ACNielsen the color cosmetics category grew 2.6 percentage points in the first quarter of 2008 compared to the same period last year.  In the first quarter of 2008 Revlon color cosmetic share declined 0.6 percentage points year-over-year which reflected a decrease in share by products launched prior to 2007 offset in part by positive performance from new products launched throughout 2007 and in the first half of 2008.  Revlon’s audited performance in the eye category which was driven primarily by Luxurious Color eyeliner and 3D Extreme mascara both of which were launched in 2007 was offset by declines in the face, lip and nail categories. In the first quarter of 2008 Almay color cosmetics share declined 0.3 percentage points year-over-year.  In the first quarter of 2008 Almay’s positive performance in the face category which was driven by Smart Shade makeup, blush and bronzer was offset by declines in the lip and eye categories.  While our first half 2008 new products are still clearly in the launch cycle we are pleased to report that in the first quarter of 2008 in the US Revlon Custom Creations foundation and Revlon ColorStay Mineral foundation were ranked in the ACNielsen top 10 new products by retail dollar sales. In addition three new Almay product launches were in the top 20, namely Almay TLC Truly Lasting Color makeup and Almay Intense i-Color mascara and eye shadow.  As Abbe will discuss later we believe that we have a strong lineup of new products for the second half of 2008 and the majority of this pipeline will be shipped to our retail customers in the second quarter. In the first quarter we continue to support our brands worldwide with comparable dollar spending versus the same quarter last year excluding the brand support in the first quarter of 2007 related to the launch of Revlon Colorist hair color.  Since the fourth quarter of 2006 the Revlon brand has maintained an approximate 13% dollar share each quarter and the Almay brand has maintained an approximate 6% dollar share each quarter. Our business strategy, we continue to execute our business strategy.  First, building and leveraging our strong brands.  Second, improving the execution of our strategies and plans and providing for continued improvement in our organizational capability through enabling and developing our employees.  Three, continuing to strengthen our international business.  Four, enhancing operating profit margins and cash flow.  Five, improving our capital structure.  We have taken the following recent actions in this connection. Following the extensive lineup of Revlon and Almay color cosmetics introduced in the first half of 2008 and as a part of our portfolio strategy of continuous introduction of new products across brands categories we are launching for the second half of 2008 a very strong and comprehensive lineup of new innovative Revlon and Almay color cosmetics products.  Abbe will review these later in the call. We signed Elle Macpherson to represent the Revlon brand worldwide and Gucci Westman, world-renowned makeup artist, to serve as Revlon brand’s global artistic director.  And in April 2008 we announced a plan to affect a reverse split of our Class A and Class B common stock and at a 1-for-10 split ratio.  The plan has been approved by the Board of Directors and MacAndrews & Forbes, the company’s principal stockholder.  We expect to consummate the reverse stock split later this month or in June. As we look forward our strategy focuses on the following key drivers, to build our brands and generate sustainable profitable sales growth.  First innovative high quality consumer preferred new products, effective integrative brand communication, competitive levels of advertising and promotion and superb execution with our retail partners.  As part of our strategy to build our brands and generate profitable growth we have developed and are implementing a multi-year product portfolio strategy for all our key brands across the categories in which we compete. For Revlon and Almay color cosmetics we will be consistently introducing new innovative high quality products every year across our categories, face, lip, eye and nail.  New products will continue to be a significant percentage of our sales each year.  Along with this focus on new product development we are supporting our brands with consistent measurably effective brand communication.  This communication will use our global celebrity brand ambassadors in advertising and for in-store communications.  As always we will be working with our retail partners to continue to improve the shopping experience for our consumers. Importantly we are also continuing to support our brands with advertising and promotions at spending levels that we believe are competitive.  We believe the implementation of our brand strategy will drive our expected mid-single digit growth in annual net sales over time.  Along with our intention to drive sales growth we will continue to control our costs and take full advantage of margin improvement opportunities in all areas of the business.  We have delivered improved margins and demonstrated our ability to control costs and improve cash usage. We have also demonstrated with our 2008 new product launches that we have reinvigorated our new product development process.  We believe the strong new product development will result in sustainable sales growth which given our margin structure will be profitable. Our plan therefore is based on growing our sales, continued control of our costs.  We believe these factors along with other efficiencies will lead to further margin expansion.  All combined we expect to generate sustainable profitable sales growth and positive free cash flow. With that let me hand it over to Alan who will take through the financial results for the first quarter in detail.
Alan T. Ennis: As we normally do I would like to build upon David’s introductory financial comments and take you through a more detailed review of the financial results. Starting with the P&L for the first quarter of 2008, net sales of $320.4 million declined 2.5% compared to $328.6 million in the first quarter of last year.  Excluding the favorable impact of foreign currency fluctuations net sales decreased by 5.5% versus a year ago.  Net sales in the first quarter of 2007 benefited significantly from initial shipments related to the launches of Revlon Colorist hair color and Mitchum Smart Solid anti-perspirant and deodorant. Although net sales in the first quarter declined it’s important to note that we remain focused on generating profitable sales growth.  We have and will continue to make careful return on investment decisions regarding how we generate net sales growth.  As David just said we believe that our Revlon and Almay color cosmetics comprehensive new product launches in 2008 will positively contribute to net sales growth. In the United States net sales decreased 8.3% to $177.2 million compared to $193.3 million in the first quarter of last year.  As I just mentioned, in the US net sales in the first quarter of 2007 benefited significantly from initial shipments related to the launch of the Revlon Colorist hair color and Mitchum Smart Solid anti-perspirant and deodorant.  Net sales of color cosmetics in the US were slightly lower in the first quarter of this year compared to the year ago period. In our international operations net sales increased 5.8% to $143.2 million compared to $135.3 million in the year ago quarter.  Excluding the favorable impact of foreign currency fluctuations international net sales decreased 1.5% compared to the same period last year.  In our Asia-Pacific region which is comprised of Asia-Pacific and Africa net sales increased 8.8% to $64.1 million compared to $58.9 million in the first quarter of last year.  Excluding the favorable impact of foreign currency fluctuations net sales in Asia-Pacific grew 3.2% primarily due to higher shipments in South Africa, Hong Kong, Taiwan and our duty-free businesses partially offset by somewhat lower shipments in Japan. In our Europe region which is comprised of Europe, Canada and the Middle East net sales declined by 1% to $49.1 million compared to $49.6 million in the first quarter of last year.  Excluding the favorable impact of foreign currency fluctuations net sales in Europe declined 10.9% primarily due to lower shipments in the UK and Italy partially offset by higher shipments in France.  I would like to point out that in the first quarter of 2007 net sales in the UK were positively impacted by retail safe gains related to the Revlon brand and higher closeout sales when compared to the first quarter of this year. In our Latin America region which is comprised of Mexico, Central America and South America net sales grew by 11.9% to $30 million compared to $26.8 million in the first quarter last year.  Excluding the favorable impact of foreign currency fluctuations net sales in Latin American grew 5.6% primarily driven by higher shipments in Venezuela and to a lesser extent in Brazil partially offset by lower shipments in Mexico. Importantly our international business is sound and growing.  International operating profits and operating margins in each region continued to improve in the first quarter compared to the same period last year. Moving down the rest of the P&L for Revlon, Inc. in terms of our gross margin in the first quarter of 2008 our gross margin improved by 180 basis points 63.4% from 61.6% in the first quarter of last year.  50 basis points of this improvement was due to lower returns and allowances, 40 basis points of the improvement was due to favorable product mix, 30 basis points of the improvement was due to lower charges for estimated excess inventory and 30 basis points of the improvement was due to proceeds from an insurance claim relating to lost product shipments. SG&A expenses of $176.7 million improved by $18.4 million or 9% from $195.1 million last year.  The first quarter of 2007 included significant brand support expenses related to the launch of Revlon Colorist hair color and this was the primary driver of the improvement in SG&A expenses year-over-year.  Operating income for the first quarter of 2008 was $32.5 million representing an OI margin of 10.1% of net sales compared to $3 million same quarter last year.  Included in the first quarter 2008 operating income and adjusted EBITDA is a $6 million net gain related to the sale of a non-core trademark which is classified on the face of the income statement on the restructuring costs and other net line. Interest expense for the quarter was $32.1 million an improvement of $33.8 million last year due primarily to lower average borrowing rates on comparable average debt levels.  Net loss was $2.5 million compared to a net loss $35.2 million in the first quarter of last year.  Adjusted EBITDA was $58.1 million compared to adjusted EBITDA of $32.3 million in the same period last year.  As David noted earlier while we have made progress we fully recognize the need to continue to further improve our performance and this remains a key focus. Moving on to cash flow, operating cash flow in the first quarter of 2008 was $11.6 million compared to $24.7 million in the first quarter of last year primarily due to changes in net working capital related to the timing of payments largely offset by a lower net loss and lower permanent display spending. In April 2008 in order to reduce our exposure to interest rate volatility we entered into $150 million two year floating to fixed interest rate swap transaction which effectively fixed the interest rate on $150 million of our term loan at 6.66%.  This swap in addition to the $150 million floating to fixed interest rate swap transaction that we entered in September of 2007 effectively fixed our interest rate on another $150 million of our term loan at 8.692%. After giving effect to these two swap transactions approximately $300 million of our $840 million term loan is at fixed interest rates during the two-year terms of the respective swaps and the remainder is floating.  Therefore in terms of our total debt approximately 60% is currently at fixed interest rates and 40% is at floating interest rates. As I indicated on our call with you in March while we are not providing specific guidance for adjusted EBITDA for 2008 we did give you certain information to assist you in understanding the factors that will impact our expected full year 2008 cash flow.  I would now like to update you on that information. Capital expenditures are still expected to be approximately $25 million, permanent display expenditures are expected to be approximately $50 million which is lower by $5 million from our prior expectations of $55 million.  With respect to interest in 2007 interest paid was $137.6 million.  Our total debt remains at approximately $1.4 billion as I mentioned 60% of which is currently at fixed interest rates and 40% is at floating interest rates mostly at LIBOR plus 400 basis points. Taxes are expected to be approximately $20 million which is higher by $5 million compared to our previous expectation due to changes in taxes internationally.  And finally all other cash flows including changes in working capital are still anticipated to result in cash usage of approximately $15 million.  Therefore you can reach your own conclusion about full year expected 2008 cash flows based on these factors collectively in conjunction with your own expectations for adjusted EBITDA. Our unutilized borrowing capacity and cash as of March 31, 2008 was $139.5 million comprising of $92.8 million available under the revolving multi-currency facility and $46.7 million of cash and cash equivalents. With that I’d like to turn it over to Abbe to introduce our second half 2008 new products.
Abbe F. Goldstein: Revlon is focused on building and leveraging our strong brand and as David mentioned we believe that consistent development and communication of innovative new products is a key driver for building brand equity and profitable growth.  Throughout 2008 we are introducing an extensive lineup of new products for Revlon and Almay color cosmetics.  These new product launches include innovative, differentiated and unique offerings for the mass retail channel and extensions within the Revlon and Almay franchises.  We intend to continue our strategy of supporting new products with advertising and promotions at competitive levels using our talented brand ambassadors. For the second half of 2008 our Revlon color cosmetics introductions are as follows:  Revlon Beyond Natural is a new makeup collection which includes eight products that create a naturally glamorous, never overdone look and works with all skin tones. The collection for face, eye and lips include: one, a smoothing primer which is a lightweight gel-like formula that provides a smooth base for lasting foundation and flawless skin; two, the unique skin matching makeup which is a lightweight foundation with breakthrough exclusive ingredients that adjust to match your skin tone.  Just five shades cover a wide range of skin tones from light to deep and most of the “all natural” advertising will focus on this skin-matching makeup. Three is a concealer and highlighter in a single compact containing two pens; four, a cream to powder eye shadow which goes on like cream, blends easily and dries to a soft powder finish.  This eye shadow is beautifully embossed and each compact contains four shades.  Five is a defining eye pencil with a wider width pencil that creates soft lines of natural color for eyes that look defined but not overly made up. Six, defining mascara with a molded brush in a non-clumping formula coats each lash for a natural look and the Everlash mascara brush has two types of bristles to apply the mascara and create definition.  Seven, cream lip gloss provides creamy color and soft shine for naturally lush lips and eight, protective lip tint with SPF15 tints lips with color while providing moisturizing shine and sun protection. Next is Revlon ColorStay Mineral Lipglaze which is the first mineral lip gloss with long wearing, color stay technology that lasts up to eight hours.  ColorStay Mineral Lipglaze’s 12 shades have a unique mineral complex that is good for your lips and provides a glossy seal of conditioning color with a one-step application.  This lip glaze is an expansion of the ColorStay Mineral face and eye collection launched in the first half of 2008. Revlon Lash Fantasy Total Definition mascara is a relaunch of our successful Lash Fantasy mascara.  This mascara is the first dual ended molded brush with a vitamin-enriched primer on one side that nourishes and lifts lashes.  The other side delivers rich, intense color with beautiful definition. And finally for the Revlon brand Crush on Color, which is a Summer 2008 collection of 13 new and on-trend shades that will be introduced into Revlon’s Super Lustrous lipstick and lipgloss, Revlon ColorStay 12 hour eye shadow quad and Revlon nail enamel.  These new shades will enhance our shade selection by offering the hottest new shades of the season in several of our core Revlon products. Our second half 2008 Almay color cosmetics introductions are as follows:  Almay Bright Eyes collection is a three product innovative and coordinated collection made up of eye base and concealer in one, eye shadow and a liner/highlighter duo.  A collection instantly makes look refreshed and radiant due to Almay’s expert formulas which contain a unique blend of marine extracts, white tea and peptides that work with light reflectors to naturally brighten, de-puff and refresh the look of the entire eye area.  The three collections of the Bright Eyes products are coordinated by skin tone. Almay Smart Shade concealer is yet another extension of the highly successful Smart Shade line of products which already include makeup, blush and bronzer.  Smart Shade concealer uses the same Smart Shade unique shade sensing technology to conceal skin imperfections.  Almay TLC Truly Lasting Color pressed powder is where long wear meets skin care.  Almay TLC pressed powder is a long wear makeup which lasts for up to 16 hours and is infused with a nourishing blend of natural ingredients namely antioxidant green tea to protect, lemon extract to brighten and Vitamin E to help smooth.  Pressed powder is a complement to the extension to the TLC makeup that was launched in the first half of 2008. We have received positive feedback from our retail customers about the launch of our second half 2008 new products.  Finally before we open for your questions we’d like to inform you that the annual Revlon Run-Walk for Women will be held in New York City on May 3 and in Los Angeles on May 10.  We are very proud of our longstanding and continued philanthropic support for women’s health initiatives and the fight against women’s cancers.  If you would like to donate to this cause or register to participate in the Revlon Run-Walk please go to the website, www.RevlonRunWalk.com. With that we would now like to open up the call for your questions.  Operator, please begin.
Operator: (Operator Instructions)  Your first question comes from Carla Casella – JP Morgan.
Carla Casella: I have one small technical question on depreciation and amortization, in your EBITDA adjustment chart you show a different D&A than it is in the cash flow statement.  What’s the difference there and where does it come from on the income statement?
Alan T. Ennis: You’re looking at the cash flow statement or you’re looking at the reconciliation between net loss and adjusted EBITDA?  Is that right?
Carla Casella: There’s only about $1 million different, depreciation and amortization is about $1 million different.
Alan T. Ennis: If you look at the reconciliation you’re seeing D&A of $25.6 million above that you’ll also see amortization of debt issuance charge of $1.3 million.  Together that’s about $27 million.  Then on the cash flow statement you’ll see D&A of $24.6 million, you’ll see amortization discount of $22 million and that’s [inaudible].  It’s just the way they’re classified on [inaudible].
Carla Casella: On the display spending, the forecast for the year is about $5 million lower.  Why is that?  Is it that the retailers are requiring less display spending for new products?  Is it your own pulling back given cash flow situation?
Alan T. Ennis: It’s actually a product of our improved efficiency at delivering displays overall.  We’ve been able to reduce the cost of permanent display spending over the last couple of years because we’ve gotten better at managing a wall insuring that the new products that we launch where possible can fit into the existing wall. In addition there are a number of retailers we’ve converted over to what they call the universal wall and the ongoing display costs associated with maintaining universal walls over time is somewhat lower.  So it’s really internal efficiencies that have resulted in that improvement.
Carla Casella: You talked about in the first quarter it was up somewhat due to shipments but down on the core, can you say how much the shipments were or whether your anniversarying any for the next quarter?
Alan T. Ennis: You need to clarify when you say it was up, are you referring to sales?
Carla Casella: The domestic, you mentioned domestic shipments of new product.  We know what amount that was?
David L. Kennedy: Are you asking the question about what the shipments were in the 2007 quarter?
Carla Casella: No, this quarter.  You were saying that there was shipments in first quarter 2008.  Do we know the magnitude of them?
Alan T. Ennis: I was referring to the fact that the first quarter of 2007 included initial shipments related to the launch of Revlon Colorist hair color and Mitchum’s Smart Solid deodorant.
David L. Kennedy: So we’re hurdling those introduction pipelines for those products.
Carla Casella: I heard it backwards.  Would that have been finished then in Q1 or do you have a tough hurdle in Q2 as well?
David L. Kennedy: Q1 is where we would have most of the initial shipments.
Operator: Your next question comes from Connie Maneaty – BMO Capital Markets.
Connie Maneaty: What would US sales growth have been?  It was reported down 8%, if we exclude the ship in of Colorist a year ago?
Alan T. Ennis: We didn’t actually cover that exactly but the ship in related to Colorist and Mitchum Smart Solid was the single biggest driver of the change year-over-year.  Color cosmetics shipments were slightly lower in 2008 compared to last year but the single biggest drier was the beauty care side.
Connie Maneaty: Would US sales growth then still have declined excluding those two because color cosmetics declined year-over-year?
Alan T. Ennis: Yes, color cosmetics was down but only very slightly.
Connie Maneaty: What impact are you seeing on your hair color market shares from Perfect 10?
David L. Kennedy: We aren’t seeing any impact.  Our brand Colorsilk which is driving our share growth in the hair color does not really compete directly with the premium end of the market where Perfect 10 is [inaudible] gain share in the quarter, I think about 0.8 share in the quarter.
Connie Maneaty: When would you expect your international businesses to as a group trend positively excluding currency?
David L. Kennedy: Connie, we haven’t called anything out on that.  We’ve said clearly that the business is sound, it’s growing, we’re continuing to improve our margins and our profitability and we believe that as we build and develop the Revlon brand that will also have a very positive impact on our international business as well.
Connie Maneaty: Are there a lot of one-time events going on in these different regions?
David L. Kennedy: I think each quarter where we’ve had a significant one-time event we’ve called it out just like in the UK where we were hurdling some space gains in prior year as well as some very low margin closeout sales in the first quarter of last year as compared to the first quarter of this year.  And if you go back and look at each quarter where we’ve had a decrease of something out of trend on international we’ve called out the one-time items.
Connie Maneaty: Finally what’s the official date for the reverse split?
David L. Kennedy: There’s not an official date at this point.  We expect to complete it some time either the end of this month or some time in June.
Connie Maneaty: So no change there?
David L. Kennedy: Right.
Operator: Your last question comes from Kevin Ziets – Goldman Sachs.
Kevin Ziets: Your inventory positions at retail, how much of the color cosmetic decline do you think was due to any inventory de-stocking moves versus sell through?
David L. Kennedy: As we’ve said in the past, Kevin, we haven’t seen any general trend towards any change in inventories in the US at retail.  The retailers, particularly the large retailers, continue to manage their inventories very, very closely.  This has been an ongoing trend for some time which have no significant impact from that.  There is always pluses and minuses changes in inventories at retail, but again nothing significant.
Kevin Ziets: Could you comment on your market share trend as the quarter progressed and as the new products started to hit the floor?
David L. Kennedy: That’s pretty early days on the new products and in the US the resets which in some retailers are not completed at this date.  So the resets roll out in an uneven pattern for the various retailers over time.  When you start to look at share results in the first quarter it’s very difficult to come to any conclusions about those.  We are very pleased to see that two major launches in the Revlon area in the top 10 list of products.  That was very pleasing for us.  Again it’s early days.
Kevin Ziets: What percentage would you estimate as set at this point?
David L. Kennedy: I don’t have a number.  I haven’t done an estimate on that so I just don’t have any accurate information on that.
Kevin Ziets: More than 50%, less than 50%?
David L. Kennedy: I don’t know.
Kevin Ziets: Just talking about your comment about long-term growth in the mid-single digit range, when you look at the historical trends of the category and you look at all the competing elements that come into mass cosmetics as well as other channels that are maybe stealing customers away, I was just wondering if you could comment?  It would imply that you’re going to gain a significant amount of share and I just wanted to know if that’s.
David L. Kennedy: That number also includes our international operations as well which is over 40% of our business and has historically grown much faster than the US.  You’ve got to take that into account as well.
Kevin Ziets: Lastly, Alan you were running through the gross margin inputs pretty quickly, I was wondering if you could go over them quickly?  I got 50 basis points for returns, 40 for mix, 30 for excess inventory and 30 for insurance claims.  Did I capture everything?
Alan T. Ennis: Yes, you got all of them.
Operator: This ends the question-and-answer session of today’s call.
David L. Kennedy: Thank you for your interest in Revlon and for your questions today.  We know that we need to further improve our performance.  We will continue to execute our strategy and we are moving through 2008 with a continued focus on increasing the value of our company by building the Revlon brand and our key brands around the world and driving towards both profitable sales growth and positive free cash flow.  Thank you.